Operator: Hello, and welcome to the Elanco Animal Health Inc. Q3 2021 Earnings Conference Call. [Operator Instructions] After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Tiffany Kanaga. Please go ahead, ma'am. 
Tiffany Kanaga: Good morning. Thank you for joining us for Elanco Animal Health Third Quarter 2021 Earnings Call. I'm Tiffany Kanaga, Head of Investor Relations. Joining me on today's call are Jeff Simmons, our President and Chief Executive Officer; Todd Young, our Chief Financial Officer; and Scott Purucker from Investor Relations.  
 As always, during this conference call, we anticipate making projections and forward-looking statements based on our current expectations. Our actual results could differ materially due to a number of factors, including those listed on Slide 2 and and those outlined in our latest forms 10-K and 10-Q filed with the Securities and Exchange Commission. The information we provide about our products and pipeline is for the benefit of the investment community. It is not intended to be promotional and is not sufficient for prescribing decisions. You can find our press release and the slides referenced on this call in the Investors section of elanco.com.  
 The slides and the press release also contain further information about the non-GAAP financial measures that we will discuss today during this call. After our prepared remarks, we will be happy to take your questions. I will now turn the call over to Jeff. 
Jeffrey Simmons: Thanks, Tiffany. Good morning, everyone. We are approaching the anniversary of our Investor Day, an important moment in our journey of transformation. That established, one, our commitments for the newly combined Elanco as well as provided unprecedented transparency as well as marking an inflection point towards sustainable value creation.  
 This quarter of delivery represents our fourth quarter of consistently exceeding revenue guidance since our Investor Day. As we progress through 2021, it is clear our long-term growth algorithm is on track, and we are executing against our IPP strategy and commitments as laid out last December.  
 Third quarter revenue on Slide 4 was $1.131 billion, which surpassed the midpoint of our guidance range by nearly $45 million with over-performance once again in both sides of our business, Pet Health and Farm Animal. Our adjusted EPS of $0.19 was $0.02 above the midpoint of guidance, and adjusted EBITDA of $211 million was $4 million above the midpoint.  
 We are expanding margins while also reinvesting for future growth despite inflationary pressures, as discussed in August. Today, we are raising our 2021 full year revenue guidance and maintaining adjusted EBITDA and adjusted EPS guidance we provided in August, all 3 of which stand well above our initial targets from the December Investor Day.  
 You can see that on Slide 5.  
 At the midpoint, we anticipate revenue of $190 million or 4% higher than the original December guidance. Adjusted EBITDA guidance is $85 million or 9% higher than originally stated, and adjusted EPS is $0.11 or 12% higher. 2021 is shaping up to be a strong step toward our long-term growth algorithm, providing total year expected revenue up approximately 7%, reflecting the durability and diverse nature of our combined business.  
 Our growth this year includes gains for our focus brands, momentum at retail, global execution for parasiticides and pain, and share gains in U.S. Farm Animal. These tailwinds are balanced with competitive dynamics, reemergence pressure -- reemerging pressure from African swine fever and generic challenges. We are also making steady headway toward our long-term margin targets, with approximately 300 basis points of adjusted EBITDA expansion anticipated this year on a pro forma combined company basis.  
 Our margin expansion in 2021 is representative of a company-wide priority given to this important metric with a comprehensive plan to sustain this trajectory towards our goal of 31% by 2024. Our teams are well positioned to execute on the core business, while several recent strategic actions are enabling accelerated long-term value creation.  
 The KindredBio acquisition closed at the end of August and advances Elanco's access to the fast-growing billion dollar-plus dermatology market. With the combination of Elanco's internal pipeline, plus the KindredBio additions, we expect to be a key leader in this next era of Pet Health growth. KindredBio's 3 potential blockbusters launching by 2025 as well as full ownership of the canine parvovirus therapy, adds approximately $100 million to our innovation revenue expectations, bringing the total to $600 million to $700 million by 2025.  
 As part of our increased focus on high-value, late-stage Pet Health pipeline progress, we welcomed Ellen De Brabander, our new Head of Innovation a few weeks ago. She is a highly accomplished R&D leader with a proven track record in animal health blockbuster development and is ideally suited to drive execution, ultimately building on the strong foundation established during Aaron Schacht's tenure. Aaron is now leading the potential carve-out of our early-stage microbiome R&D platform and which we may retain a minority stake.  
 The separation is expected to be completed by the end of the first quarter of 2022. We hope to have more details to share with you as this date approaches.  
 Finally, on the productivity front. In June, we announced the exit of 3 manufacturing sites. On August 1, the sale of the Shawnee site closed. And further streamlining our footprint, we're accelerating our gross margin efforts, reducing annual CapEx and improving working capital. We believe all of these strategic actions will combine to support consistent double-digit adjusted EBITDA and adjusted EPS growth ahead.  
 On Slide 6, we provide the key drivers of our third quarter revenue performance. On a pro forma combined company basis, we grew approximately 6%, assuming the Bayer acquisition had occurred on January 1, 2020. Pet Health drove approximately 1/3 of the upside versus the midpoint of guidance, reaching $527 million in revenue for the quarter. 
 Trends are moderating on incrementally tougher comparisons, leading to low single-digit year-over-year increases in U.S. vet clinic traffic during the quarter. However, growth is still very healthy on a multiyear basis. In turn, our vaccine business saw strong EDI performance. As we evaluate the stickiness of the trends in pets post-COVID that matter: first, the improved vet clinic experience as well as the wellness programs and improving compliance should represent longer-term market expansion factors on the other side of the pandemic.  
 Turning to parasiticides. Third quarter Seresto revenue was $52 million, while Global Advantage family revenue was $121 million, each up 9% year-over-year. Both saw healthy gains in the U.S. and led our continued strength in international pet health. Seresto revenue was up 28% compared to 2019, back more in line with historical 2-year trends, as the OTC parasiticide channel rebounded from transient weather-related challenges in May.  
 We remain on track towards full year expectations for Seresto with key initiatives already in place going into next year, creating a long runway to grow this trusted brand.  
 Moving to Credelio. The global franchise is performing well in a competitive field. Credelio is the second fastest-growing brand in global oral parasiticide market. According to the industry data, for the second quarter, the most recent available data. The flagship product achieved quarter and year-to-date EDI growth in the U.S., supplemented by international expansion and the launches of Credelio Plus and Credelio Cat. 
 We continue to see good traction in the pairing opportunity with Interceptor Plus, and our sales and marketing teams across the world are driving our OTC and scripted parasiticide portfolio across retail, e-commerce and the vet clinic as rising pet numbers and greater compliance provide a favorable and durable industry backdrop.  
 Anticipated and expected declines in our older brands, Trifexis and Comfortis as well as a divested product drove legacy Elanco Pet Health down 2% for the quarter.  
 Finally, in therapeutics, Galliprant outpaced the branded U.S. inset market according to the kinetic data. The brand continues to grow nicely as a leader in pain, making progress towards becoming our tenth blockbuster.  
 Turning now to the Farm Animal business. Legacy Atlanta was up 8% in the third quarter. We saw demand-driven strength and share growth in our global cattle business. In the U.S., Cattle [indiscernible] feed numbers have remained elevated versus historic levels and placements were higher year-over-year. We achieved strong EDI performance in cattle and swine for Rumensin, Optaflexx, and Denagard in the quarter.  
 Our U.S. farm animal growth reflects our value-based products in the presence of higher feed cost as well as our comprehensive portfolio, our value beyond product offerings and the beneficial industry dynamics.  
 In China Swine, we experienced ongoing headwinds from the reemergence of African swine fever, as discussed on our last call in August. Oversupply through financially induced herd liquidation has kept hog prices broadly at their lowest levels for the year, down about 60% since the start in January. We expect these macro challenges to continue in the fourth quarter.  
 Our overall swine business remains competitive with a strong portfolio targeting larger producers that are better positioned in the market. So in turn, we believe we are well positioned for outsized success as the market rebounds. Our total Chinese business is still poised to deliver at least a percentage point of growth to total Elanco revenue in 2021.  
 Finally, we drove double-digit growth in international poultry and aqua, as many of our international markets recovered from the 2020 pandemic impacts. Global poultry markets have seen significant improvement with most regions now moving into profitable conditions, benefiting from increased demand and reopened economies.  
 In aqua, salmon prices have been consistently positive year-over-year since mid-July, which is driving the use of our DNA vaccine Clynav to protect Atlantic salmon from pancreatic disease.  
 Turning to Slides 7 and 8. Since our Investor Day, we are growing.  We are transforming, and Elanco is elevating our business while prioritizing innovation. We have consistently outperformed revenue guidance since Q4 of last year. At the same time, we are on track towards our synergy commitments and our long-term margin and net leverage targets. We are moving with speed and decisiveness through several recent strategic actions to drive disciplined execution against each of the 3 pillars of our IPP strategy to enable accelerated value creation.  
 Slide 9 outlines our innovation progress in 2021 with details around all 8 products, which have now launched. We continue to expect these launches to contribute $65 million to $85 million in revenue this year. On the Pet Health side, where innovation is running above expectations, Credelio Plus launched in Australia in the quarter in time for the local parasiticide season. Credelio Cat and Elura are performing well and expanding our feline portfolio.  
 In Farm Animal, Experior acceptance continues to grow with both producers and packers. The total value proposition is being substantiated in the field with expanded use from those that have tested the product in production systems. We have doubled the number of cattle on the product since the second quarter. We continue to see potential for blockbuster status for this unique product, the first U.S. FDA approved product labeled to reduce ammonia gas emissions.  
 As part of Elanco's pledge to be our customers' lead partner on their journey to net 0 emissions, we hosted leaders from across the global animal protein industry ahead of the United Nations Food Systems Summit to position animal agriculture as a meaningful solution to climate change while identifying opportunities to help our industry accelerate progress.  
 Additionally, Elanco was recently named among the top 20 of Fortune's 2021 Change the World list, which recognizes companies that have made an important social or environmental impact to their profit-making strategy and operations. Our team's commitment to our purpose and continued execution in creating value for farmers, pet owners, veterinarians, stakeholders and society as a whole. With that, I'll hand it over to Todd to provide more color on our results and our outlook. 
Todd Young: Thanks, Jeff. Slide 10 summarizes our financial performance highlights, including our reported net income and earnings per share. . 
 On Slide 31 to 33 in the appendix, you can find the summary of the adjustments made to the reported results to arrive at our adjusted presentation. I'll focus my comments on our third quarter adjusted measures in order to provide insights on the underlying trends of our business, so please refer to today's earnings press release for a detailed description of the year-over-year changes in our reported results.  
 Looking at the adjusted measures on Slide 11, you'll see that total Elanco revenue increased 27% in the quarter on a reported basis with 1 point of benefit from foreign exchange for legacy Elanco.  
 On Slide 12, there's a visual representation of our revenue out-performance versus the guidance range we provided in August. The key drivers in order of magnitude were global cattle out-performance, global pet health and the retail channel, international poultry recovery, aqua and currency tailwinds. Adjusted gross margin as a percent of revenue was 55.7%, an increase of 150 basis points compared to the third quarter of last year. The year-over-year improvement, which was achieved despite higher logistics costs, reflects the Bayer acquisition, the benefit of positive price and volume on Elanco's legacy portfolio and continued productivity gains. The sequential deceleration of 240 basis points versus the first half of this year reflect seasonality as we move past the Northern Hemisphere parasiticide season.  
 Total operating expense increased 19% in the third quarter, driven by the addition of the Bayer Animal Health business and KindredBio. Operating income increased 67%, reflecting the Bayer Animal Health acquisition, our top line execution, expense leverage and discipline and synergy capture. Our adjusted EBITDA was $211 million, and our adjusted EBITDA margin for the quarter was 18.7%, up 200 basis points versus last year. At the bottom line, Q3 adjusted net income increased 55% to $93 million, and our effective tax rate in the third quarter was 23.5%.  
 Now let's discuss our revenue performance more closely. On Slide 13, you will see a breakdown of the contribution from legacy Elanco and legacy Bayer portfolios by category. Legacy Bayer products contributed $421 million in the quarter. Pet Health drove $527 million of revenue or 47% of total Elanco. The sequential step down to less than half of our mix reflects seasonality.  
 Cattle contributed $256 million or 23% of total Elanco revenue in the quarter. Poultry added $173 million, representing 15%. swine $110 million or 10%. And Aqua, $44 million or 4%. 
 On Slide 14, you can see the effect of price, rate and volume on our revenue performance. To aid your analysis for our performance, the full benefit of the Bayer acquisition for the quarter is reflected in volume on the slide.  
 We've achieved a 2% increase for legacy Elanco year-to-date and expect that to hold for the full year as well. Looking further ahead, we are focused on levers to drive revenue, including greater price increases that we have implemented historically for certain SKUs as inflation scenary pressure has risen, especially in transportation costs. 
 Slide 15 provides a breakdown of overall performance between the U.S. and our international operations. We have further outlined our geographic performance by Pet Health and Farm Animal as well as contract manufacturing. All of which benefited from the addition of Bayer. We expect to file our 10-Q very soon. 
 But moving to Slide 16, let me offer a few words on working capital and debt. We ended the third quarter with $453 million in cash and equivalents on our balance sheet and net debt, on August 12, we entered into a new 7-year $500 million credit facility on August 27. This new loan bears interest at a floating rate of LIBOR plus 175 basis points. 
 The terms are generally consistent with those $250 million draw on a revolving credit facility that was used to fund the $440 million. We used $194 million of cash on hand to pay the remainder of the purchase price. Net leverage was 5.8x at the end of the quarter, and we continue to expect approximately 5.5x at the end of 2020 '21, in line with our original projection from December 2020. 
 Additionally, as we regularly updated you, our aggregate channel inventory levels and distribution remained consistent with prior quarters in the U.S. and across our global business. 
 Now will transition to our full year and fourth quarter 2021 outlook, starting on Slide '18. We are raising our full year 2021 guidance for total revenue and maintaining our ranges for adjusted EBITDA and adjusted EPS despite a higher expected full year 2021 tax rate at approximately 24.5% than previously expected at approximately 24%. We now anticipate 2021 revenue of $4.73 billion to $4.77 billion. We also expect adjusted EPS of $0.97 to $1.03 and adjusted EBITDA of $1.035 to $1.075 billion based on an adjusted gross margin of 56.75% to 57%. 
 The we are updating our reported EPS guidance to negative $0.91 to negative $0.83, reflecting 2 noncash impacts from the third quarter. As part of our R&D processes, we terminated a Farm Animal portfolio project due to observed efficacy results. This action required a write-down of the value of this in-process R&D asset through the P&L. 
 The second is a charge associated with the establishment of a liability for future royalty and milestone payments relating to our license agreement with KindredBio for the parvovirus therapy, which was settled upon the closing of the acquisition. 
 Moving to Slide '19. We are providing guidance for the fourth quarter of 2021. We expect revenue of $1.078 to $1.118 billion, adjusted EBITDA of $190 million to $230 million and adjusted EPS of $0.13 to $0.19. 
 Our fourth quarter revenue guidance reflects a year-over-year decline. I want to emphasize that we do not have a fundamental change in our core business performance, but are reflecting a number of well-known onetime impacts from last year. 
 These fourth quarter comparisons include 4 items of note. First, we had a large retail customer order for approximately $10 million of OTC parasiticides in the fourth quarter of 2020 versus the first quarter of 2021. Second, we had $10 million from incremental U.S. cattle vaccine and in plant revenue due to competitor stock outs. Third, we are facing a $20 million year-over-year decline in contract manufacturing due to the sale of our Shawnee manufacturing facility to TriRx and the discontinued human growth hormone production [indiscernible]. 
 Excluding the $60 million in total revenue specific comparisons, our range reflects underlying growth of flat to 3.5%. Also incorporating the challenges of African-Swine fever from a tailwind in 2020 to a headwind in 2021. 
 Our global teams continue to pursue productivity initiatives and synergy capture on both cost of goods sold and OpEx which are expected to drive fourth quarter adjusted EBITDA of $35 million year-over-year at the midpoint of our guidance range and adjusted EPS of $0.04 at the midpoint.  
 As we close out 2021 and head towards 2022, I want to note that we will provide initial 2022 guidance with our fourth quarter results in late February, while our balanced global portfolio continues to provide solutions to farmers down of veterinarians around the world, we look forward to discussing our continued progression against our long-term growth algorithm with our anticipated growth in revenue, adjusted EBITDA and adjusted EPS in 2022. Now I'll hand it back to Jeff for closing comments. 
Jeffrey Simmons: Thanks, Todd. To summarize, we continue to consistently post strong quarterly results as we move through 2021, further extending our track record of execution since acquiring Bayer Animal Health. 
 The durability and diverse nature of our global business and our commercial execution is expected to drive approximately 7% of revenue growth this year and adjusted EBITDA growth of approximately 21% and an increase in adjusted EBITDA margin by approximately 300 basis points. 
 Our teams are focused on delivering on our financial commitments in 2021 and excited to continue to grow revenue, adjusted EBITDA and adjusted EPS in 2022, while delivering on our vision of food and companionship enriching life. Finally, I'd like to wish Tiffany's success as she leaves Elanco after today to pursue an exciting opportunity outside of Animal Health. Our Treasurer, Dave Pugh, with 27 years of combined Experience across [ Lilly ] and Elanco both serve as our interim head of Investor Relations. I expect a seamless transition in our shareholder engagement under Dave's leadership, and we will continue to prioritize consistency, transparency and accountability. 
 With that, I'll turn it over to Tiffany to moderate the Q&A. 
Tiffany Kanaga: Thanks, Jeff. We'd like to take questions from as many callers as possible, so we ask that you limit yourself to 1 question and 1 follow-up. Lisa, please provide the instructions for the Q&A session, and then we'll take the first caller. 
Operator: [Operator Instructions] Your first question comes from the line of Michael Ryskin with Bank of America. 
Michael Ryskin: Great. And congrats on the quarter. I'm going to squeeze in both my first and my follow-up right away. So first, Jeff, in light of your comments just now that this year, you're seeing 7% pro forma growth, how do we take that comp into account when we're thinking about next year and the year beyond sort of is the numbers we should be thinking of more comp-adjusted relative to that long-term run rate of 3% to 4%? 
 And for the follow-up, you highlighted Kindred and the potential derm blockbusters maintaining the 2025 innovation target of $600 million to $700 million. Can you provide any updates on timing for some of those blockbusters, specifically a derm product or a combo endoparasiticides. Is early 2023 doable? Or should we be thinking more like 2024 for those areas? 
Jeffrey Simmons: Thanks, Michael. First, on 2022. As we said, we do continue to see growth on revenue, EBITDA and EPS going forward. We also, as Todd stated,  will share that guidance in our Q4 results in February. 
 I think a few things just important to note to back up. Very clearly, I think this quarter, now 4 sequential quarters is proving the strategy and the algorithm are right. '21 is creating momentum that will carry into '22. We have a more durable and diverse company. I think our plans are more balanced. And here's what I think will be the key contributors as we go forward for growth in '22. 
 I mean, first, our focus brands, Seresto, Galliprant, the Credelio franchise. Two, innovation. This year's innovation and next year's innovation, the omnichannel with digital support and the Farm Animal business continuing, we believe, to lead growth in that segment, against, I think, good industry backdrops for our portfolios in both Pet and Farm Animal. 
 And we'll convert that revenue growth, I think, as well as anybody in the industry and continued margin expansion. So we're going to hold to the -- and our belief in this growth algorithm that we shared a year ago, and that will be really our North Star as we go forward. 
 And I want to emphasize, we do see durable growth as we go into 2022 by these things that I just mentioned. Relative to Kindred, I think I would just back up and say, first of all, we closed it in August, Michael, world-class team. We've kept all that team in place, retained all the key people. There is already becoming a really nice complement and leverage between our derm development teams and their derm development teams were engaging on a regular basis. Ellen has been on board only a couple of weeks, but is already engaged and very much integrated right into the center of all that. 
 And yes, we solidified a $100 million before assets. We believe these assets can be differentiated, play nicely in our portfolio. I'm not going to highlight specifics anymore than what we highlighted during the Investor Day Conference at this time. As innovation progresses and starts to impact the results and the plans, we'll continue to communicate more of that as we go forward. 
Operator: Your next question comes from the line of Umer Raffat with Evercore ISI. 
Michael DiFiore: This is Mike DiFiore in for Umer. Congrats on the quarter. I just got disconnected, so I apologize if I missed this. A question for Ellen. Just general thoughts and color on your vision for the R&D organization that may be new or may have differed from the past. And my follow-up is what could explain the seemingly sudden turnaround in international poultry in Aqua given that the prior ZoaShield headwinds and macroeconomic pressures experienced there. It seemed like -- and in the first half of the year, it's been consistently message that producers are suffering this macro pressure. But all of a sudden, there's this turnaround in 3Q. Maybe you could offer some color there. 
Jeffrey Simmons: Thanks, Michael. First of all, Ellen is not part of the call today. We will look to have Ellen part of the calls as we go forward. As I just mentioned, she is a couple of weeks in. No problem on that. 
 I will say just a quick highlight that she's been part of the 2022 planning process. She's integrated into the team and the pipeline in a great way and engaging and will be key in sharing some of her insights. And we'll be able to answer those questions, I know as we go into 2022. So I think that's important. 
 Relative to poultry, yes, we have seen a significant rebound. As we had shared in the beginning of the year, we had predicted that in the second half of the year, we would see this. A lot of this is driven by the economic pullback that was caused by COVID in midsized markets that we had high market shares in. We're seeing that recovery as people are now returning to stores as well as restaurants and purchasing poultry, and we're seeing prices rise. 
 And with that, chickens are being placed back into barns and our portfolios are winning. ZoaShield is right now just a U.S.-based product and really unrelated to that international poultry market rebound. 
Operator: Your next question comes from the line of Nathan Rich with Goldman Sachs. 
Nathan Rich: Maybe, Jeff, to follow up on the last question on R&D. I guess, do you expect there to be any reprioritization or narrowing in the focus of R&D priorities? You talked about maybe a greater focus on Pet Health, but could we see any change in the pipeline to maybe focus on some of the larger opportunities that you're going after. 
 And then just a question on probably for Todd on the inflation that you're seeing and the ability to pass on costs. Is there any kind of difference in your ability to maybe take price increases on the Farm Animal side versus the Pet Health side? Could you just maybe help us understand the dynamics there? 
Jeffrey Simmons: Thanks for the question, Nate. I'll start on the R&D one. Absolutely. I think you highlight, and as we've made the announcement on Ellen during the quarter, I would just put this in the line just like the Kindred acquisition and just like the TriRX and reducing our footprint, this is just another strategic move to strengthen our value proposition going forward. 
 What I would share is Ellen brings a lot of experience on not only refilling pipelines, but late-stage development as she has her name against some of the biggest pet blockbusters in the industry. With our carve-out of our early-stage microbiome platform, that is allowing us to have increased resources and focus on these especially late-stage assets. It is very clear what we must do in the portfolio. We've got an increase in pets as a percentage, an increase in blockbuster potential products going into larger markets like parasiticides, derm, pain and even wellness. 
 So that will be the clear agenda. Ellen's already, as I've shared, integrated into that. I don't see any change to that agenda. I will say the change of the microbiome coming out has removed work, which allows increased resources and focus on what I believe is relative to our size, one of the most robust late-stage pipelines in the industry. 
Todd Young: And then, Nate, on your question of inflation, as we called out, we've increased prices 2% year-to-date and expect that to hold for the full year. We are looking for more targeting greater price increases on a lot of our kind of consumer OTC, retail, e-commerce, type products as we do think the best-in-class products like Seresto have some space there. 
 With regards to Farm Animal versus Pet Health, on the Farm Animal side, we're a very value-based product provider to farmers across the globe and look to continue to do that and where it makes sense for our products to continue to keep animals healthy. We'll look to see what kind of price we can bring. At the same time, there's a little bit more generic pressure on that side of the house at the moment as well. 
Operator: The next question comes from the line of Chris Schott with JPMorgan. 
Christopher Schott: Just following up on those inflation comments. I think you had previously said there was about a      [ $0.03 ] or so impact this year from supply chain and inflation. I'm just to get a sense of like as we look out to 2022, should we be kind of like annualizing that type of impact? Or do you think there's going to be offsets? I'm just trying to get a sense of how -- is this a shorter-term phenomenon versus a longer-term impact? 
 And then the second question was just on parasiticide, as you kind of think about heading into, I guess, next year's kind of flee, tick season, et cetera. Have you felt most of the impact on products like Trifexis from kind of the newer triple coming to market? Or is that something we should be thinking about either accelerating or greater impact as we go out to next year? I know with -- the OTC products are doing well. I'm just trying get a sense of that legacy prescription business and just -- are we kind of hitting a floor there? Or is there more erosion to come there? 
Jeffrey Simmons: First, on your inflation question, Chris. We've got a lot of productivity initiatives continuing on a company-wide basis. A lot of that is to offset both input costs at our manufacturing facilities as well as the transportation costs. That transportation bottlenecks with shipping and ports across the globe are certainly something our team are paying a lot of attention to and working to open up new trade routes to get our products out to our customers. So we're continuing to fight through it, but it certainly has been a headwind this year and will likely be a headwind into next year, but the team is doing a great job of finding ways to continue to try to strive to reach our goal of keeping costs flat as we grow volumes. 
Todd Young: Relative, Chris, to the parasiticide market, I think you've hit on the key thing, which is this is not a surprise of some of the dynamics that played out so far this year and what we see going forward where legacy brands, ours and others, are the ones being impacted. 
 And I do see parasiticides as the largest market. It is growing because of, I think, the entrance of innovation. But it's also very dynamic and very competitive. What I think you can see in our results this quarter and as we go forward is more of a global holistic approach to parasiticides that we took not only with our R&D strategy, but also with the acquisition of Bayer. So new innovation is expanding the market, new innovations taken from legacy brands. I would know Credelio being the second fastest-growing oral brand shows plan franchise across Cats, Credelio Plus, which is very competitive outside of the U.S. 
 And then our holistic approach, which is the combination products of Credelio, working with an Interceptor Plus in the U.S., Credelio Plus outside the retail and then our partnerships. We're going to continue to partner, use digital, utilize distribution as we go forward, and we believe that's working. So a holistic global approach continue to grow going forward. Legacy brands will continue to be impacted. We haven't noted specifically how much, but we do see us and our strategy working as we go forward. 
Operator: Next question comes from Jon Block with Stifel. 
Jonathan Block: Great. First question, I'll ask both upfront as well. I guess just wide range for 4Q EBITDA and innovation. For EBITDA, I think the range is $40 million is essentially as wide as revenue. So Todd, maybe if you could just call out some of the variables that would take us to the high end or the low end considering we've got roughly 2 months left for the year. 
 And then the quick tack on, Jeff, just on the Credelio side, I think I heard growth, I wasn't sure it had been double digits. So for Credelio was -- the third quarter of '21, another quarter of double-digit growth in the company? Or did you just reference growth overall? 
Jeffrey Simmons: So John, on the EBITDA, as you saw, we beat the sort of midpoint of our guidance in Q3 by only [indiscernible] million. We've essentially carried over the Q3 beat into our Q4 guidance, but otherwise have maintained. 
 One thing to know, we've had less depreciation than we previously forecasted. That's helping us offset some of the inflationary costs and allowing us to deliver on gross margin, but it has been negatively impacting EBITDA as there's less to add back. So overall, we're continuing to drive through and confident in delivering the guidance we're providing this morning. 
Todd Young: Yes. John, relative to Credelio, overall, we won't and haven't given specific by country product growth in this category. What I will say is we're seeing growth come first globally from the Credelio franchise, driven initially by Credelio Plus and a very strong launch of that product between Japan, Europe and Australia, and then Credelio Cats. 
 And yes, Credelio across the globe is, as I've shared, very competitive, continues to grow and will as we go into 2022. That's as much detail at this time that we'll get into. 
Operator: Your next question comes from the line of Balaji Prasad with Barclays. 
Balaji Prasad: Congrats on the results. Just 2 specific questions from me. Firstly, on [indiscernible]. Now Kindred had demonstrated a guessing both indications. The expectation was that they would be submitting the therapeutic claim in June. And my conversations with Kindred's management had indicated they expect approval of both the prophylactic and therapeutic indications at the end of the year. Is that still the goal? And if so, can you provide some context into the launch next year and your understanding of expectations around the market? 
 Secondly, on Increxxa, do you still believe that with 3 additional generic tulathromycin to come, do you see a path to grow -- of growth for this product over the next couple of years? 
Jeffrey Simmons: Thanks, Balaji. Great questions. What I will say on the parvovirus is we are continuing to progress that nicely through our pipeline. We are expecting approval and launch into the market in 2022. We're not giving a whole lot more detail than that. We are working with the regulators and things are progressing nicely. We'll likely make more comments on this as we get into our 2022 guidance. 
 What I will say also is what we see is a market here that has -- is we're looking at the launch, one that does not have needs. As you've heard from some of the data from Kindred, Banfield study shows there's 250,000 copies every year with parvovirus, and they're spending thousands of dollars with not really a great solution. 
 And so we're going to create a market. That's one factor. Two is a supply chain, being able to have this product available in some complexities in the supply chain as well as manufacturing. These are all factors that will drive the timing and the size of the launch. 
 But we're excited about this product being a great complement to our portfolio, but even more so to veterinarians today that really can't offer that new puppy owner a solution if they have parvovirus, and we believe this will give a veterinarian across the country a new opportunity. 
 On Increxxa, what I'd say is there's 2 markets out there. There is Europe, where there's a lot more generics. There's numerous generics. And in the U.S., there's really only 2, us and one other company and there will be more that we're anticipating will enter. This is -- Balaji, we've said from the beginning, this is a portfolio play. We are leaders in confined beef cattle with our portfolio. We picked up significant number of products from Bayer in that portfolio. 
 And then launching Increxxa, it gives us a very strong bovine respiratory disease portfolio. Increxxa is performing a little above our expectations at this point in the U.S. and mostly because it's a value-based approach in a portfolio offering to cattle producers in the U.S., and that will be the continued case and we continue to see this being a nice brand within our portfolio, and we'll continue to update you as we move forward, especially through the fall season as we're wrapping up now. 
Tiffany Kanaga: We'll take the next caller, please. 
Operator: Your next question comes from John Kreger with William Blair. 
John Kreger: Jeff, could you just give us an update on sort of where you go next with the Bayer integration to drive some of the margin goals you have? And then, Todd, maybe a quick one for you. A year from now, where would you like to see the receivable DSO relative to the 81 that you just reported? . 
Jeffrey Simmons: Yes, John, real quick. Without question, just as we've shown by our behaviors this year, constant energy around a productivity agenda. We have a company-wide productivity agenda. That is well in play, looking at everything, from footprint, SKUs to infrastructure cost. 
 So as we look at kind of the next areas we're focusing on is how we can continue to optimize all aspects of the company, especially anything that is non-value-oriented relative to pipeline, commercial or key capabilities that we need. So as we've shown with Novartis and others, we will continue on this journey with this company-wide productivity and be very, very aggressive against it, and we'll continue to update you. But it will be mostly across that infrastructure and SKUs that maybe are not as is valued, but mostly infrastructure. 
Todd Young: John, thanks for the question on DSOs. We're continuing to work across the globe to be focused on cash, thinking about collections. The change relative to Q2 is driven by having more international Farm Animal, which has got longer payment terms as a general matter that our U.S. retail business that is influenced by the seasonality in the first half of the year. 
 So overall, we continue to get more efficient in operating our 2 different systems and collecting cash from our customers around the globe. So I think we should be inside the 81 in Q3 of next year as we continue to focus on collecting our cash on a timely basis. 
Operator: Your next question comes from Elliot Wilbur with Raymond James. 
Elliot Wilbur: And maybe I could just follow up that line of questioning, Todd, specifically a little bit difficult to track cash movement given some of the acquisitions and the swings in working capital. But thinking about this quarter and exiting the year would you expect the company to still be operating cash flow positive on a full year basis? 
 And a question for Jeff, just around the growth opportunity in China. I heard your earlier comments. Obviously, you're still on track to deliver incrementally percentage point of growth to the top line from the Chinese market. But certainly, there's going to be a lot more pressures there, particularly on the livestock side. Going forward, so can you just talk about some of the other initiatives and growth levers available to you in terms of continuing to drive an increasing contribution from China maybe outside of just the swine market. 
Todd Young: Elliot, on your question, operating cash flow you'll see in the 10-Q, we're going to file shortly. Year-to-date, it's $260 million, and we expect that to continue to grow in Q4 and to progress again in 2022. 
Jeffrey Simmons: Yes, Elliot, on China, absolutely. I would start though with swine and say that we do believe that African swine fever has allowed us to really target these large producers continue to bring our portfolio. We brought therapeutic claims to our performance-based portfolio. And I believe that we're well positioned, as I mentioned, because of the size of it relative to our business, we do see this as something, as I mentioned, that we'll outsize ourselves, we believe, in this rebound. 
 I think the other side is poultry. We've had a long history with a concentrated industry in the poultry business there. We brought in nutritional health and continue to play very nicely in the poultry business. And then what Bayer has brought, and I really will be -- to answer your question specifically, the most material change to Elanco will be a strong business in the pet side. 
 We're putting a lot of energy relative to reaching pet owners, integrating and working with veterinarians, Advantage and Seresto are the key lead brands as well as Drontal and doing very well. 
 And then lastly, I would say the kind of the fourth leg to the stool in China is our aqua business, our warm water business that we have there, warm water aqua, where it's a nice growth driver. Still smaller, but it will -- has a nice long runway of growth as well. So diverse portfolio, 4 key business units, a great Chinese leadership team and spending a lot of time on share of voice and reaching appropriate customers the most efficiently. But we continue to see nice growth prospects even going into '22 for China. 
Operator: Your next question comes from the line of Navann Ty with Citi. 
Navann Ty: On poultry, you compete so a continued switch to low-cost products. So have you benefited from it in the U.S. and globally? And do you see it as a durable trend? And I have a second question on the SEC inventory destocking case. Maybe if you could discuss any most recent dialogue with the SECs. 
Jeffrey Simmons: Thanks, Navann. What I would say is what I've learned over 30 years in the poultry industry and spend a lot of time with those customers as they are very value based. They have the strongest analytics of any protein group. And this becomes -- it's really not about low cost, it's all about maximizing value. 
 And so what we've seen is we bring one of the largest databases of performance and health with our customers, and that service offering with our portfolio is what's allowed us to continue to grow share and really have the #1 poultry business globally. Relative to SEC, there's nothing new to report. There's no change in the scope of the context. We're cooperating with the SEC. 
 And again, I want to emphasize we believe strongly our actions were appropriate and confident that our business strategy and our changes in distribution were also done very appropriate. That's all I have to comment. Nothing else new to report. 
Tiffany Kanaga: Thank you. We'll take 1 more caller. 
Operator: Your next question comes from David Westenberg with Guggenheim Securities. 
David Westenberg: So I apologize if I missed it. But is there any way to think about kind of the value to weight context in -- well, sorry, the value to weight of MSAs in context of excess freight costs that we might be seeing in the industry? And then my second question is just on generally on livestock macro. Can you remind us of any of the macro trends that we saw this year that might be comping next year, both in a positive and negative direction as we kind of do our models there. 
Jeffrey Simmons: Yes, Dave. Just quick like at a high level, if I'm missing anything, Todd, you can jump in here. But I think without question, you touched on something that is correct. 
 I mean not every portfolio is the same across the animal health companies. We do have MFAs and products that have more complexity, more weight and more dynamics in the supply chain. As Todd said we are working with productivity agenda and a lot of other interventions to off set those cost, but yes, there is an added context to and challenge to some of our portfolio relative to that. 
 On a livestock basis what I would say the highest level is I think one: on swine, I think we want to watch for as there is an extremeness of up and down that we have seen with African swine fever we believe that, that usually means you will see a rebound in probably an extreme way as well as we go in maybe to 2022, but continued pressure in Q4. 
 But there will be, I think the swine market will be going against a very strong first half last year not just in China, but that, that benefitted globally, I think that's number 1, and then I think number 2 is I think cattle continues to be a beneficiary of what the challenges were with Asia. Exports have grown most for beef. Feed yards are as full as they've been in a long time, and I see that sustaining and then poultry again, we see probably a positive compare in the first half of these economics continue to remain strong, especially in the international market, so those will be the 3 key material ones that I would highlight. 
Tiffany Kanaga: Okay. Jeff, we'll take a closing remarks from you. 
Jeffrey Simmons: Okay, I'd like to say first of all thank you for you interest in Elanco. I would like to thank Tiffany as she enters a new great opportunity for her that she has been very, very important to us and our relationship with all of you, and I wish her all the best going forward and look forward to Dave Pugh, who is our interim IR leader. 
 I want to just emphasize, I believe this quarter represents a key milestone. Four quarters of consistent delivery, what is working is our algorithm, our Investor Day, our conference highlight of our strategy, the Bayer acquisition, our distribution changes, the decision they were making, had been the right ones and it's been representative of the four quarters of the delivery. We have a lots of work to do. 
 There's appropriate headwind with the tailwinds. We do see a durable industry with a positive backdrop, both on the pet side as well as for us on our portfolio on the Farm Animals side. We are more strengthened company that's driving transformation, and we're executing everything from the new pipeline to a company-wide productivity agenda. 
 Our engagements scores have risen this quarter as we are getting very loyal, focused employee base that I want to say thank you to as well and a very trying challenging times in our world Elanco continues to execute well and do work in a very important way, as noted by some of the things that we are doing on the side of improving society with animals. So with that, thank you again for your interest, and everybody, have a great day. 
Operator: This concludes today's conference. You may now disconnect.